Operator: Good afternoon and welcome to the Portland General Electric Company’s first quarter 2008 earnings results conference call. (Operator Instructions) For opening remarks, I would now like to turn the conference call over to Portland General Electric’s Director of Investor Relations, Mr. Bill Valach. Please go ahead sir.
William Valach : Thank you Christy and good afternoon everyone. I am Bill Valach, Director of Investor Relations at Portland General Electric and we are very pleased that you are able to participate with us today. Before we begin our discussion this afternoon, I would like to make our customary statements regarding Portland General Electric’s written and oral disclosures and commentary. There will be statements in this call that are not based on historical facts and as such constitute forward-looking statements under current law. These statements are subject to factors that may cause actual results to differ materially from the forward-looking statements made today. For a description of some of the factors that may occur that could cause such differences, the Company requests that you read our most recent Form 10-K and Form 10-Q. The Form 10-Q for the first quarter ended March 31, 2008 will be available this Wednesday May 7 at portlandgeneral.com. The company undertakes no obligations to update publicly any forward-looking statements whether as a result of new information, future events or otherwise and this Safe Harbor statement should be incorporated as part of any transcript of this call. Portland General Electric’s first quarter 2008 earnings were released before the market opened today and the release is available at PortlandGeneral.com. With this release, PGE announced earnings of $28 million or $0.44 per diluted share for the first quarter ending March 31, 2008 compared to $55 million or $0.88 per diluted share, for the first quarter ending March 31, 2007. With me today are Peggy Fowler, CEO and President and Jim Piro, Executive Vice President of Finance, CFO and Treasurer. Peggy will begin this call with an overview, Jim will then discuss in more detail our first quarter results and then we’ll open the call up for question and now, it is my pleasure to turn the call over to Peggy.
Peggy Fowler: Thank you, Bill. Good afternoon everyone and thank you for joining us. We welcome you to Portland General Electric’s 2008 first quarter earnings call. Since, we became public three years ago we’ve been strengthening our existing foundation with projects like Port Westward and Biglow Canyon Phase I. Now, if we look to had five to ten years we continue to see opportunities to build an even stronger Company for our customers and shareholder. We are moving ahead with Biglow Canyon Phases II and III, we are making progress with our integrated resource plan. We are focused on helping our customers succeed because with their success, we can deliver value to shareholder. Today I’m pleased to share the news of solid financial and strong operating results for the first quarter. I will also give a high level economic outlook for organ and update you on a few significant projects. We will begin with earnings guidance; PGE is reaffirming its full-year 2008 earnings guidance of $1.75 to $1.85 per diluted share. 2008 guidance assumes normal hydro implant operation. Based on our current capital forecast our long-term annual earnings growth expectation beginning in 2008 is 6% to 8% which will support continued growth in our dividend. We’re pleased with our service date that is fairing better than most regions given the current economic situation. Although the States economy has closed somewhat from last year as a result of the housing market decline and the lumber and wood product sector slow down, we remain optimistic. Oregon State unemployment rate is largely unchanged from the fourth quarter of 2007. Oregon continues to perform better than the rest of the nation. While our reasonable employers cut jobs Oregon posts -- other regional employers cut jobs, Oregon posts to close to 1% payroll growth in the first quarter of 2008 and we continue to project a 1.9% increase in weather adjusted retail loads for 2008, due to higher forecasted commercial and industrial demand. This growth is expected to compensate to the flat residential demand caused by the housing market decline as well as conservation and energy efficiency efforts. Oregon’s current economy is diverse and unlike most other States manufacturing is prospering in Oregon and creating jobs. We are beginning to see solar manufacturing companies locate here, companies such as SolarWorld, Solaicx and XsunX. This developing solar cluster is taking advantage of the strong semi-conductor base that is already here and it reinforces Oregon reputation as the center for sustainability and clean technology. PGE is actively working with our State and local economic development partners to encourage businesses including solar, wind, wave and other clean technologies to consider Oregon as an attractive location. All of these positive economic factors contribute to continued customer growth in our service territory. In the first quarter we added approximately 4,000 new customers bringing our total retail customers to over 808,000 and these customers remained interested in renewable power option. The National Renewable Energy Laboratory just released its annual rankings and for the third year in a row PGE sold more renewable power to residential customers than any other utility in the United States. Overall we’re rank number two for total number of customer participants and total renewable kilowatt-hours sold to residential and commercial customers combined. Our commitment to renewable resources meets the needs and values of our customer. Overall satisfaction remains in the top quartile for residential customers and in the top decile for small to medium-sized business customers. Our generation plants continue to perform well too. Our Port Westward plant is running well and continues to receive recognition for its engineering excellence. The plant received the combined Cycle Journal's 2008 Best Practices Awards for its implementation of digital communications technology. The availability of our plants during the first quarter including both thermal and hydro was approximately 92% with thermal at 89% and PGE owned hydro at a 100%. While the region has experienced a lot of snow this winter, we have seen a decrease in energy from hydro resources compared to the first quarter of 2007 due to colder than normal weather which has delayed the snowmelt. Current forecast continue to indicate near normal hydro conditions for 2008 including 99% on the Disute[ph], 130% on the Clackamas and a 100% on the Columbia River at Grand Coulee. Not only did our generating plants performed well in first quarter, but results for power quality and reliability performance are in target with our 2008 goal. These performance metrics include customer alterations and momentary interruptions. Also on target is our progress with the Biglow Canyon Wind Farm; a great example of PGE’s ability to meet expectations and move a project forward. On April 3 we announced the agreement by a 141 turbans from Siemens Power Generation to complete the construction of Biglow Canyon. These 2.3 megawatt Turban are having an installed capacity of 325 megawatts. We expect Phases II will have 65 turbans installed in 2009 and Phases III will have 76 turbans installed in 2010. We estimate the cost of both phases to be between $740 million and $780 million including AFDC. With the completion of phases II and III Biglow Canyon is expected to have a total capacity of nearly 450 megawatts making it one of the largest Wind Farms operating in the North West. The Biglow Canyon facility will help PGE satisfy Oregon’s renewable energy standards which requires us to meet 15% of our load with renewable resources by the year 2015 and 25% by 2025. Oregon Public Utility Commission agrees that need for additional renewable resources is reasonable, so it issued our request for proposal on April 23 seeking us to an additional 218 average megawatts of renewable resources; just as in addition to Biglow Canyon Phases II and III. We are hoping to have a variety of projects to evaluate such as wind, solar, geothermal and biomass. So, selling the additional 218 average megawatts will result in PGE meeting the 2015 target. These renewable resources were part of our latest integrated resource plan. The OPUC house reflected that PGE resubmits our IRP within 12 to 18 months in order to prepare additional longer-term analysis to address resource decisions beyond 2012. This analysis will include creative decision on emissions controls at the Boardman plans and the potential effects of federal climate change policy. We’re also making progress with advanced metering infrastructure. We are currently awaiting an order from the OPUC on AMI and expect the decision by the end of May. Lest we complete acceptance testing by the end of 2008 we will begin to put that the deployment process of installing over 800,000 meters. AMI will provide operational efficiencies and cost savings as well as improve services for our customer. On the public policy front I would like to acknowledge the partial restoration and benefits from the Bonneville Power Administrations Residential Exchange program. In March PGE and BPA signed an Interim Relief Agreement that partially restored the federal hydropower benefits to our residential and small farm customers. On April 15, PGE began passing an average price reduction of 6.3% to customer. We will continue to work hard on behalf of our customers to restore future benefits. With that, I would like to turn the call over to our Chief Financial Officer, Jim Piro to discuss our financial results in more details.
James Piro: Thank you Peggy and good afternoon everyone. PGE's net income for the first quarter 2008 was $28 million or $0.44 per diluted share compared to net income of $55 million or $0.88 per diluted share for the first quarter of 2007. 2008 results reflected increase in retail energy deliveries due to both an increase in the number of customer served and cooler weather compared to the first quarter 2007. The addition of Port Westward and Biglow Canyon Phase I and continued strong thermal plant operations also contributed to positive results for the first quarter of 2008. The primary offset to these positive results was reduced hydro generation due to colder than normal weather, which has delayed the snow melt. The impact of reduced hydro generation was approximately $6 million after tax or $0.10 per diluted share. We are forecasting that the reduced hydro generation will reverse by year-end with the expected delayed runoff. Also offsetting these positive results was a reduction in income from non-qualified benefit plan assets up $5 million after tax or $0.05 per diluted share. As a reminder first quarter of 2007 results included two onetime items. A positive $14 million or $0.22 per diluted share for the deferral of a portion of Boardman’s replacement power cost and a positive $4 million or $0.06 per diluted share, related to settlement between PGE and certain California parties. We continue to work with our regulators and customer groups on a number of regulatory matters, in order to achieve positive results. First our 2009 general rate case; in February we filed our general rate case, based on the 2009 forward test year. The filing proposed an 8.9% average increase with new prices expected go into effect in January 2009. The increase is driven by three key factors: first, higher purchase power and fuel cost; second, increased operating expenses including the increased cost of materials, labor and healthcare in compliance with government regulations and third higher capital cost including the return on equity and the cost of ongoing system improvements and our hydro relicensing project. The revenue requirements included a return on common equity of 10.75% based on an expected capital structure 50% equity and 50% debt and an overall weighted average cost of capital of 8.66%. A procedural schedule has been established for the general rate case. The next step is settlement conferences on June 5 and 6 followed by testimony and concluding with an order from the OPUC by December 29. The 2009 general rate case filing does not include AMI or phases II and III of Biglow Canyon. These projects are being covered in separate regulatory proceedings. Now an update on Trojan; we are pleased that we now have a procedural schedule and the OPUC had indicated that their final order clearly schedule for September 12, 2008 will be comprehensive and will address all Trojan related issues before them. Now I will provide you an update PGE’s capital expenditure program. For 2008, capital expenditures are expected to be approximately $394 million including $223 million for ongoing production, transmission and distribution, $90 million for Biglow Canyon Phases II and III, $56 million for ongoing hydro relicensing projects, $23 million for Advanced Metering Infrastructure and $2 million for Boardman emissions controls. Capital expenditures are $34 million lower than our prior forecast for 2008 primarily due to a change in timing of payments for turbines for Phases II and III of Biglow Canyon Wind Farm. To finance PGE’s capital expenditures and maintain our 50/50 capital structure, we plan to issue a total of approximately $250 million of debt and $200 million of equity in late 2008 or 2009. We continue to maintain stable operating cash flow in adequate liquidity to fund ongoing operations to both our $400 million multiyear revolver and access to the commercial paper market. At the end of the first quarter PGE had approximately $386 million of available liquidity under the revolver. We continue to maintain investment grade bond ratings, our senior secured ratings are Baa1 at Moody’s and A at Standard & Poor’s. The focus of our financial objective continues to be our core utility business. This includes efficiently accessing the capital markets to support investment in new and existing assets, achieve fair and reasonable regulatory outcomes, maintain investment grade credit ratings and earn a fair return on our invested capital. Now I’d like to turn it back over to Peggy.
Peggy Fowler: Thanks Jim. Our first quarter results show we are executing our strategy and making significant strives towards meeting the growing energy needs of our customers. Biglow Canyon Phases II and III are moving ahead. We had issued of RFP for additional renewable resources. We are working closely with regulators and customer growth on our 2009 general rate case and we will continue to take advantage of the growth opportunities in our service territory through excellence in operations and rate-based investments that deliver value to our customers and shareholders. We’re also looking forward to our second annual shareholder meeting on May 7, which takes place here in Portland. Christy we would now like to open up the call for questions.
Operator: (Operator Instructions) Our first question comes from Brian Russo; your line is open.
Brian Russo - Ladenburg Thalmann: Could you maybe talk a little bit more about how many megawatt hours would you expect to generate from the hydro facilities in a normalized first quarter?
Peggy Fowler: Sure, Why don’t we talk through the hydro, we have the numbers on that because we figured that would be a question.
James Piro : Yes, the total -- our contracts on the mid Colombia and our own hydro generation, we typically expect about 566 average megawatts of generation and you can convert that to megawatt hours. It’s about on a megawatt hour basis it’s 4,959,765 megawatt hours.
Brian Russo - Ladenburg Thalmann: In the first quarter…
James Piro : No, that’s for the full year.
Brian Russo - Ladenburg Thalmann: Okay, for the full year.
James Piro : That’s an average for the full year. The first quarter is a little bit higher; I can calculate that while we’re talking and let you know what we expected in the first quarter on an average. It was down about 71 average megawatts for the first quarter. So, that’s how much we were down in terms of average megawatts during the first quarter.
Brian Russo - Ladenburg Thalmann: Okay, all right that’s very helpful. Can you remind us of -- what the rate base is in Oregon in the pending rate case.
James Piro : In that 2009 general rate case?
Brian Russo - Ladenburg Thalmann: Yes.
James Piro : Is 2.23 -- $2.366 billion.
Peggy Fowler: And for 2008 its 2.237 right now.
Brian Russo - Ladenburg Thalmann: Yeah, right.
James Piro : And that, does not include -- I believe it does not include AMI or Biglow Canyon Phases II and III which will be in Phase II and wouldn’t be completed till the end of ’09. AMI will come in during the year, Advanced Metering Infrastructure project will come in during the, but it’s has it’s own separate era.
Brian Russo - Ladenburg Thalmann: And then, where there are any Boardman cost deferrals in the second, third or fourth quarter of ’07?
Peggy Fowler: No
Brian Russo - Ladenburg Thalmann: Okay was all in the first quarter?
Peggy Fowler: Yes, that’s correct.
James Piro : Other than interest charges on the deferral.
Brian Russo - Ladenburg Thalmann: Right. Okay and then just lastly; what embedded natural gas fuel cost is in the Oregon GRC filing?
James Piro : I can -- just a second -- let me look it up. I have it here, I just need to look it up for a second.
Brian Russo - Ladenburg Thalmann: Okay. I mean I would imagine there is some sort of true up as the case gets closer to reflect the higher gas prices. I am just wondering what’s kind of embedded in the 8 point -- I think it’s the 8 plus percent you outlined earlier?
James Piro : I don’t have those numbers in front of me. We do have the filings online that we could point you too…
Brian Russo - Ladenburg Thalmann: Sure
James Piro : For 2008 our gas prices were averaging around $66 per megawatt hours.
Brian Russo - Ladenburg Thalmann: Okay.
James Piro : The actual price -- I don’t know what the accurate price of that translates under.
Brian Russo - Ladenburg Thalmann: Okay, thanks a lot.
Peggy Fowler: We’ll get back to you on that and we do have an annual true ups to that -- it’s used across our -- it’s cost of gas and cost of coal going forward and that’s part of the rate case going forward to assist. We’d filed it all together in the case.
Operator: Your next question comes from Michael Lapides from Goldman Sachs. Your line is open.
Michael Lapides - Goldman Sachs: Couple of questions for you; one on Biglow Canyon two and three, what is the first year that you expect you’ll get a full-year benefit of both units and rate?
Peggy Fowler: 2011 will be the first full-year of both units and -- plus 2002 will be completed in 2009, so its first full-year will be 2010 and then ’03 will be completed in 2010, so its first full-year will be 2011, so both units 2011.
Michael Lapides - Goldman Sachs: So, I want to make sure I’ve got that right. Biglow Canyon II impact your 2010 rates and III impact and both II and III impact 2010 and ‘11.
Peggy Fowler: Correct and then there is AFDC that goes along the way.
Michael Lapides - Goldman Sachs: Understood, the all-in costs and that’s actually my follow on question. What is your all in AFDC rate? I thought it was published in the Q or the K as something close to 9% but I just wondered the double check?
James Piro : The tracks are weighted average cost to capital. So it will change based on what the allowed ROE is, so we use our actual capital structure, use our actual cost of debt and our approved cost of equity. So, it can change based on financing that occurs during the year. Also if we do have short-term debt on our balance and if we are using short-term debt that will affect the ratio also, because that first gets applied to the AFDC calculation, so we saw the first formula pretty well defined. If you want to get the details of that formula, Bill can get those to you off line?
Michael Lapides - Goldman Sachs: Yes, happy to follow-up. Last question, when we -- the AMI process; what’s your view or what’s the risk in terms of AMI potentially not being approved by the regulator?
Peggy Fowler: Well we always feel better when we actually here from the regulator, but still find the process is going well and we really do expect to here any day on it.
Operator: Your next question comes from Vikas Dwivedi from Morgan Stanley. Your line is open sir.
Vikas Dwivedi – Morgan Stanley: There is a question on the hydro as well. When hydro out put is being displaced by another fuel, is it almost exclusively gas?
Peggy Fowler: Generally speaking, yes. That’s what’s on the margin, that’s what we go to the market to purchase.
Vikas Dwivedi – Morgan Stanley: And roughly how often or what percentage of the hours is gas on the margin in that region?
James Piro : Pretty much all the time and the net is -- and it’s -- I mean it is usually the market heat rates; the market heat rate times is the gas pricing and the heat rate can fluctuate anywhere from a low of 7,000 to a high of 10,000 just depending on what loads you are doing?
Vikas Dwivedi – Morgan Stanley: Okay
James Piro : Other than the spring months where you get big run offs it’s usually GAAP on the margin. So, in June -- May, June, July depending on when the snow starts melting then you can go to much lower prices because of excess hydro.
Vikas Dwivedi – Morgan Stanley: Okay and how are things right now and if you could just spent maybe a minute on the PCAM mechanism as it applies to the hydro versus gas output and how that flows through again just as a quick remainder.
James Piro : Okay as you recall there is a deadband of $14 million on the good side, $28 million on the downside. We are still within the deadband through the first quarter, so we just tracked that on our quarter-to-quarter basis and if we go through the deadband then we start booking a deferral based on where we are. So, we calculate at the end of each quarter where we are and if we have broken through the deadband then we will start booking a deferral either a collection or a refund to customers depending on what’s happening. So, at least in the first quarter we are still within the deadband, if that’s what you’re asking.
Vikas Dwivedi – Morgan Stanley: Yeah, absolutely thank you and then the other part of that was just, how are things right now with respect to the hydro versus gas?
Peggy Fowler: Well, right now gas is still on the margin. Some of the hydro is just starting to show up and that’s a weather warn to expect to see a little bit more, but everything relates this year, but we do expect through the rest of this quarter to see that the hydro starts to flow and what we would normally expect to see, just a little bit later in the year. Prices go down and just like some of our operating plants.
Operator: Your next question comes from James Bellessa from D.A. Davidson & Company. Your line is open sir.
James Bellessa - D.A. Davidson & Company: The period of April, tells us that their April hydro generation was below normal would that have been the same case for you?
Peggy Fowler: We haven’t looked at their numbers to know for sure, but for the whole timeframe our hydro was lower than normal and we -- I don’t we’re different than our investor system because of where our water comes from.
James Bellessa - D.A. Davidson & Company: And Peggy when you assist the whole time frame do you mean the March quarter or do you mean the April -- January, April period?
Peggy Fowler: January, April period
James Bellessa - D.A. Davidson & Company: Okay. Now if you are saying you are going to recoup most of the earnings strike from low hydro generation in the first quarter later in the year will that typically be mostly in the second quarter? When do your rivers get back to normal conditions?
Peggy Fowler: Yeah clearly its second and third quarters, it’s when we would expect to see that.
James Bellessa - D.A. Davidson & Company: So, you think some of the benefit could flow into the third quarter?
Peggy Fowler: Yes.
James Piro : Since on the temperature, we have got it. It come as late as August if it stays cold through the May, June timeframe it comes off later. So a lot of it just depends on the temperatures up in the Canadian area as well as up in Oregon.
Peggy Fowler: And how much they pond and how it comes through?
James Bellessa - D.A. Davidson & Company: How much is dependant on moisture yet to arrive?
Peggy Fowler: That’s very little. In fact it arrives much later, clear into a later timeframe this year, but it’s a pretty much soft now, but they would come later this year, last later this year.
James Bellessa - D.A. Davidson & Company: I’m talking about rains during the spring and early summer…
Peggy Fowler: It’s really more of a snow pack that makes more of a difference. We have some run of river that is impacted by the rain, but really its more of a snow pack.
James Bellessa - D.A. Davidson & Company: On the BPA credit that you talked about, a partial benefit between now and I guess it was April and October, is it and how much is it?
Peggy Fowler: $43 million to be collected.
James Piro : And but we collected 40 -- (inaudible) will give a check for $43 million. We put that in the balancing account, we had some money the customers owed us; I think it was around $9 million. So, we offset the 43 with the 9 and then as Peggy mentioned there we had the rate reduction to start amortizing that over a period of time. I think the 6.3% rate reduction.
James Bellessa - D.A. Davidson & Company: And you settled whereas your neighboring utility did not settle, why did you settle and they didn’t?
Peggy Fowler: Basically, working with the Public Utility Commission they thought that we should settle and that specific cost shouldn’t settle and I think there is basic -- I had to do with the agriculture customers and what was going on there?
James Bellessa - D.A. Davidson & Company: How the SB for ’08 effects during the quarter?
Peggy Fowler: Jim will talk about SB for ’08.
James Piro : Okay SB for’08, during the quarter based on an annual forecast and this obviously can change each quarter, but based on an annual forecast we booked about a $2 million refund pretax for Q1, 2008 and then last year, we had $1 million collection pretax -- we booked $1 million pretax collection from customer. So, the delta between first quarter of last year and first quarter of this year is about $3 million pretax and that continues to obviously be based on power costs and what happens with the overall cost structure during the year as well as revenues. So, we tried to make an estimate at the end of the each quarter based on the full-year forecast and then we adjust that each quarter.
James Bellessa - D.A. Davidson & Company: And then I see it didn’t show up in the revenue amounts here. You typically you that in your revenue figures when you published in Q, but it showed up in the cash flow amount. You had a SB 408 deferral of $3 million, is that what you just talked about or is that something different?
James Piro : We actually just talked about, $3 million.
Peggy Fowler: You want to talk a little bit about, how we change our reporting formats.
James Piro : Sure, we did change our financial statements this year to be more traditional kind of the way most companies report, but we have historically reported our financials based on the way most utilities are done, but as trying to transition and get ready for new SEC requirements for publishing our financial results we did change the overall format of our income statement and our balance sheet to be more like traditional company. So we did that this quarter and we’re pretty please with that. So you will see a little bit different presentation but that SB 408 deferral what you talked about is what your seeing there.
James Bellessa - D.A. Davidson & Company: You indicated that you had a January 1, rate decrease -- slight decrease of 0.3% or changes that we are forecasted for 2008 power and fuel cost; do you have any regretse about your forecast now that you got into the year?
Peggy Fowler: No not at all. I mean that’s offset going in and it’s determined by regulatory process and we plan ahead for our power purchase a year ahead so that’s all set in there and we will do the same thing going into next year.
James Piro : Yes, just again to remind you, we lock in 95% of our open position, so the rates reflect pretty much our costs at that point in time other than a small piece that we maybe open or long or shorter in each month, but generally we’re pretty well hedge going into the year, so it going to be an issue for us next year, but this year we’re find.
James Bellessa - D.A. Davidson & Company: The Boardman credit that came in last year, you say it was $20 million, but I recollected $0.30 a share impact; what's the difference between a $20 million credit and the $0.30 a share, can review that with us?
James Piro : A couple of things; first of all, the full deferral was $26.4 million. We booked a $6 million deferral in the fourth quarter of 2006 and then we booked a $20.4 million remaining portion at that deferral in the first quarter of 2007 and then you have to add on that regulatory interest from the time we filed the deferral and depending on which quarter you are in, that accumulates each quarter on our composite cost to capital and I think in 2007 we made a pretty big catch up; I think it’s around $5 million -- yeah it was about $5 million in the first quarter of 2007 for regulatory interest, so those are the three component. I think the fourth quarter deferral, the first quarter deferral, plus the interest on the regulatory deferral and we continue to book that interest in so such time as we amortize it from and receive it in cash from customers.
James Bellessa - D.A. Davidson & Company: And then year-over-year you indicated how much the annual megawatt, average annual megawatts from hydro was suppose to be and you said you could figure out what the quarterly estimate was, do you have that now?
James Piro : I will do it right now and then well somebody can answer your questions and I will come back
Peggy Fowler: We do know we are a 156,000 megawatt hours below our forecast for the quarter.
James Bellessa - D.A. Davidson & Company: 156,000 megawatt hours
Peggy Fowler: The lower forecast for the quarter
James Bellessa - D.A. Davidson & Company: And in the press release of that calculates the 14% below normal?
Peggy Fowler: Correct.
Operator: (Operator Instructions) Your next question is a follow-up question from Michael Lapides from Goldman Sachs. Your line is open sir.
Michael Lapides - Goldman Sachs: Hi, two questions. First of all, where are you in the process in signing an EPC contract for the Boardman’s Environmental control? That’s one and two what do you seeing in terms of prices of coal delivered at Boardman?
Peggy Fowler: We’re current -- in terms of the process, we’re away from doing anything with engineering construct at Boardman, because we have to complete the bark process and so we’re still working through the completion of the Boardman bark process and we don’t expect that to be completed until the 2009 timeframe and at that point in time we’d have a better sense of what we would need to do. We are out talking to some engineering firms now to get estimates to look at the range of possibilities, because we’ll need to include some numbers as we go to the least cost plan. Our estimated 2008, market price was coal -- is in the range of $11 to a $11.50; that’s just the coal, not the transportation.
Michael Lapides - Goldman Sachs: And how different is that -- how substantial is the transportation kind of as a percent of the total delivered cost?
Peggy Fowler: I think it’s about 50% isn’t it? Yeah, at least 50%.
Michael Lapides - Goldman Sachs: So kind of all in the $25 range, roughly?
Peggy Fowler: Why don’t we get back to you on the exact number on that.
Operator: We have no further question in queue….
James Piro : I like to answer that question back to Jim Bellessa -- and megawatt hours for kind of our annual forecast is about 1,386,226 megawatt hours for the quarter. That’s the baseline with this kind of average hydro and we were down 156,310 megawatt hours.
Operator: We have no further questions in queue at this time and I’ll turn the call back over to the Ms. Fowler
Peggy Fowler: Thank you everyone for your interest in Portland General Electric Company and we invite you to join us when we report in our second quarter 2008 results. If you have additional questions, please conduct Bill Valach, who will be available after this call and again thank you for participating.
Operator: This concludes your conference call for today. You may now disconnect your lines.